Operator: Ladies and gentlemen welcome to the Capgemini's 2016Third Quarter Revenues Conference Call. I now hand over to Mr. Paul Hermelin, Chairman and CEO. Sir, please go ahead.
Paul Hermelin: Thank you, operator. Good morning, everyone, and thank you for attending this presentation for first half results. As usual I will give you some highlights of our results then Aiman , our Chief Financial will guide you through the details of the performance. We had overall a steady performance in this third quarter. Our revenue reached EUR3.19 billion this quarter which represent a 2.2 year-on-year growth at constant currency. For the first nine months the growth stands at 10.2%. We are very pleased with our progress in Digital and Cloud, our activities in these fields grew by 25% in this third quarter and represent now 29% of our revenue year-to-date. Regarding bookings, while Q3 is traditionally a weak quarter, this year our Q3 bookings are strong at 2.8 billion, representing 14% growth year-on-year at constant rate and they’re no longer any IGATE impact in the third quarter. I’m very pleased with IGATE integration which is on track and now enters its final phase. Operations integration will be finalized by year end as planned. IGATE key manager retention remains very high and the progress we made with IGATE clients are really satisfying. The top IGATE client top 15, which represented an estimate 60% of IGATE revenues are growing at high single digit year-to-date, so our focus on large account is paying off. With this figures, we confirm all aspects of our full year guidance for 2016, which had been upgraded in July. Finally, as announced at the beginning of the year, we’re actively managing our dealership, we are processing the early redemption of ORNANE bonds with a net share settlement and we’ve pursued our buyback program in the third quarter reaching EUR265 million year-to-date and we still have EUR350 million left in our approved envelope. Q3 trends, let’s look at regional trends. They’re consistent with what we saw in Q1 and Q2. North America, we delivered a small growth of 4.4% at constant currency. The headwind from the energy and utility sector was stronger than expected. We get back details from the slide. Excluding EUC, the rest of the business grew by 3.7% with notably a steady traction in manufacturing and continued growth in financial service. The market is evolving rapidly in this region. Now that IGATE integration is ending, we’re investing to accelerate our portfolio transition to digital and cloud, which will also require some targeted acquisition to speed up capability build up. In continental Europe, we continue to see a very good momentum with overall 5.1% constant currency growth, year-on-year. France is confirming its recovery with 4.6%, while Central Europe and Nordic are both growing around 10%. In the UK, public sector and more specifically, the HMRC ongoing re-in sourcing is weeding on growth leading to a revenue decline of 1.5% at constant currency year-on-year. We pleased by the dynamics of the private sector with the growth close 10%. A strong traction from digital and market share gains so far we have noted any significant impact linked to Brexit, but we obviously keep on monitoring closely this evolution [ph]. And finally in Asia-Pacific and Latin America, we grew by 1.2% at constant currency. Asia-Pacific remains very dynamic with a strong double digit growth, while Latin America is shrinking again due to the Brazilian resale business. We expect overall Q4 and the start of the year to show similar growth. As a consequence H2 growth will be aligned with the Q3 growth. Managing headwind, I just mentioned headwinds we are actively managing, HMRC re-in sourcing and two head winds linked to local market situation in Brazil and in the EUC sector in North America. While we expect to later to field an issue [ph], we’re still weighing other groups. We conducted a detailed analysis on the impact of these headwinds in the quarters to come and I want to share here some elements with you. Regarding HMRC, we signed in March a contract until 2020. Thanks to this new agreement, we expect HMRC to remain – Capgemini to remain HMRCs strategic partner for application project and digital transformation. As part of this contract and to align with the UK procurement directive, we agreed to the re-in sourcing of the part of the existing scope. The resourcing is occurring as planned and is prudent to EUR200 million reduction by mid-2017. We expect 4.9 impact on group growth in the fourth quarter and an estimated headwind of 1.2 in 2017, with a peak in Q3. The details are shown in the slide. On the EUC sector in North America, we saw a further revenue run rate decline in Q3, leading to 90 basis points headwind for the group similar to Q2. Looking forward, our detailed forecast shows now a sequentially revenue stability in Q4. However, due to this comparison impact is expected to increase to 1.1 in Q4 and to fade by Q2 ’17. When compared to Q1 2014, the energy sector shrunk massively from 20% of North America revenue to slightly above 10%. For Lat-Am, we are now stable pure service business. Fluctuations are essentially coming from the resale business which remains volatile in the current environment. It had 60 basis points negative impact on our group growth this quarter, but we expect very limited impact in Q4. Looking now at our major sectors in QV, first we viewed European demand as sustained, we know that had impacted exit from Brexit and our portfolio is well aligned with market growth. In North America the market is healthy overall and growth is heavily weighted to digital and cloud even more than in Europe. In sectors like manufacturing and financial service, we’re performing well. Thanks to an accelerated transition of our portfolio. It is clear that we have some catch up in other sectors and notably consumer product, retail and distribution, which would probably require some capability boost through targeted acquisition. Specifically, let me confirm the strong head for financial services sector which is growing 6.5% year-on-year with a strong book-to-bill of 1.2 in Q3 and increase of 27% of the sales pipeline. In the sector for example, we signed this quarter with a large U.S. insurance company a seven years contract to provide third party administration services leveraging our ibabs platform. We won a significant digital platform with a leading provider of credit ratings and risk analysis. We are also accelerating manufacturing and automotive following our increased focus on this sector and the launch of our digital manufacturing offer. We had a very large deal with a U.S. medical technology firm in application outsourcing. We had a five year contract synergy [ph], extending our existing application development and maintenance contract. And third, Telcom confirms its recovery as it has been growing for the last three quarter. We recently signed a large deal in digital with a French telecom operator and we extended our agreement with Rodger Brothers, which includes automation and legacy application migration to public cloud. We invest in our growth driver. We invest 30 basis points to accelerate in digital, cloud and competitiveness and we intend to leverage more M&A to boost the portfolio transition. Digital and cloud is a key growth engine and represent 29% of our revenue year-to-date. The momentum in digital is driven by our cross business approach or deep sector expertise and now application innovation exchange labs network. Our cloud activities are also very dynamic with 33% growth year-on-year and cloud adoption by our clients is accelerating. Notably, on high breed cloud deployment platform as a service for application migration and API implementation. To fuel these tractions in digital and cloud, we actively manage our portfolio we enriched this year with our digital manufacturing offer, which is successful notably in the digital asset management with some nice wins with a leading European railways operator and a UK energy company. We also develop strategic partnerships, for example, with SAP on manufacturing or with Value on the mobility solution platform. And we invest in our go to market and capabilities with top level recruitments in particular in North America, where we have finalized the recruitment of 20 senior digital executives. In parallel, our global competitiveness program supports our managed service business to gain further traction in the market. We continue to progress on automation capabilities built around our automation drive comprehensive offer, we have today more than 3,900 automation experts worldwide and we have done automation work for more than 200 customer’s year-to-date. For example, automating the monitoring of part of SAP managed service for a big client, we have achieved 80% productivity improvement and we believe these part is scalable across our entire SAP managed service landscape. We’re also leveraging our global production center, representing now 55% of our workforce to accelerate our growth in Europe, with higher offshore adoption in France and the Netherlands. Our large Indian platform is instrumental to our competitiveness. Finally, we’ll increasingly use M&A to accelerate the transition to digital and cloud, following the acquisition of Onew [ph] and Fahrenheit 212, earlier this year, our focus in on capability acquisition, this should be primarily bolt out with limited integration efforts. Our acquisition strategy could translate into 2% of additional growth per year in the next two to three years. And finally on our guidance, on the outlook we occluded some volatility and temporary headwinds, but at the same time there is a strong traction in digital and cloud and an increase of option for Europe. We firmly conserve our full-year 2016 guidance as upgraded in July. In terms of revenue, we reaffirm a 7.5 to 9.5 constant currency revenue growth guidance for 2016. We’re comfortable with our upgraded operating margin guidance 11.3% to 11.5%. Finally we maintain our guidance on the organic free cash flow which is expected to exceed EUR850 million. We continue to execute on all our strategic priorities, reinforcing our presence in digital and cloud, also in terms of capabilities of bringing sectoral knowledge, strengthening our industrialized offering with competitiveness program, we’re beyond the show. We’re investing in automation, resource supply chain and overall operational efficiency. Following the successful integration of IGATE, we’re going to accelerate our M&A activity, leveraging our proven ability to integrate and leverage new client relationship and capabilities. I’m confident that we’ll meet our mid-term organic growth and margin ambition. I now handover to Aiman, who’ll give you more detail on our results.
Aiman Ezzat: Thank you, Paul and good morning. So in Q3 our revenue reached EUR3.19 billion, which represents 2.2% year-on-year constant currency increase. The impact from currency variation against the EURO is minus 2.8 point this quarter, so stable compared to H1. This correspond to 83 million FX impact in Q3, out of which 81 million is coming from the British Pound. On a full year basis, we now expect the currency impact to be slightly below 3 point, so higher than the 2 points anticipated at the beginning of the year, due to the sharp depreciation of the British Pound, following the Brexit vote. The favorable effect from the variation in the group scope is negligible this quarter at 0.1 point acquisition of Fahrenheit 212 and Onew [ph]. For the first nine months of the year, the constant currency growth is 10.2% and the growth is company’s growth is 7.3%. Now, let’s look at constant currency growth by main geography. Paul already gave you a good overview, so let’s recapture. In North America, as communicated in July, we still have sizable impact from the energy and utility sector. It has offset most of the 3.7% growth recorded in the rest of the region. Bookings have been improving year-on-year, we remain cautious – on the cautious side based on the expected headwinds facing us from energy and utility for the next couple of quarters. In UK and Ireland, we’ve not identified in Q3 any major impact from Brexit. The best evidence here is 10% growth recorded in the private sector, on the back of market share gains. However, Q3 growth in this region is at minus 1.5%, due to the anticipated negative impact of the public sector. Now, let’s move to Continental Europe, where the performance is strong like in H1, with a constant currency growth of 5.1% and not slowing down in perspective. France is up 4.6%, with another quarter of double digit growth in the application services, fueled by projects in digital and cloud and growth is pretty broad based across sectors. Rest of Europe, which includes the Benelux, grew 5.4% at constant currency. Germany and Nordic countries continued to lead the growth, with a remarkable performance in manufacturing and automotive sector, while Benelux remains flat. And finally in Asia-Pacific and Latin America, the constant currency growth is 1.2%, but highly contrasted. Asia-Pacific continued to grow very strong double digit, but Latin America revenue is again down significant to year-on-year. As Paul mentioned, it’s leading to a headwind of 60 basis points, in fact primarily coming from the resale business which was clearly unexpected after the sequential stabilization we had in Q1 and Q2. We do expect limited impact in Q4 from Latin America. Now moving to the growth by business on the next slide, with a couple of words [ph] on our strong performance, the 25% constant currency growth, digital and cloud, it’s important to understand that we have two type spend on digital and cloud. First, the existing budget, which are diverted from traditional projects to digital and cloud, typically when you take a [indiscernible] replacing a previous one. Although, this growth in digital and cloud does not provide incremental growth for the group, this is why some speak about rotation to digital industries. Second, as a new incremental budget, which provides the net growth for the group, typically by the decision to invest in leveraging technology to transform the business. Like in digital channel or in connected cab, this is where we really need business skills, market preferences, sectoral knowledge and cross business approach to win. Now, on to businesses, consulting services revenue grew by 3.1% at constant exchange rates. The actual management consulting activities growing faster, as an increasing amount of work and revenue is channeled and reported in the other business, typically in application services for digital. Technology and engineering services revenue increased by 1.3%, with good performance in North America and Rest of Europe regions. Application services continued to drive growth with a revenue progression of 4.4% at constant exchange rates. Demand for digital and cloud offerings are boosting close to double digit in most of Europe where we’re in a position to freely impose this strategy. Thanks to our stronger position in management consulting. Other managed services revenues is down 3.3% this quarter. New projects shrinking under the weight of Latin America and the UK, while we recorded good performance in business services, driven by the growth of our platform business. Now, turning to sectors, let’s start with financial services which continues to deliver a very solid 6.5% growth year-on-year at constant currency. The sector is expected to continue to perform well. Thanks to growing pipeline and a healthy book-to-bill. Energy, utility and chemical is down 7.3%. We already discussed many aspects of that. Here I just add that this is very much an North American issue, actually both U.S. and Canada, as the rest of the world reports a small positive growth. Manufacturing and automotive is clearly accelerating this quarter, both in Europe and in North America and posted a strong growth of 12.6% at constant currency. Our investment in digital and in vertical offers is clearly contributing to that performance. Consumer product and retail is facing practically tough comps in H2, with an organic growth about 12% in the same period of last year. There is strong performance in most of Continental Europe, but this is partially offset by some weakness in Benelux and Latin America. On the public sector the decline is minus 7.5%, fully expected and driven by the anticipated decline in the UK. Excluding the UK public sector, actually we’re slightly below breakeven in the Rest of the World in public sector. And finally telecom and media posted third consecutive growth quarter which confirm the sector recovery. Going to booking, we’re very pleased with the booking performance of EUR2.8 billion this quarter, which represent 14% growth year-on-year at constant currency. As a reminder IGATE was already in this [ph] Q3 2015. We have a better than usual Q3 and we did – as we said in July that we expected it, which tends to be soft usually in Summer, due to European summer. The book-to-bill ratio stood at 0.92 versus 0.83 last year. There was some large wins in managed services notably North America and a growing pipeline and we do expect another strong booking quarter in Q4. And as Paul mentioned, the strong performance as well in booking is linked to our performance in financial services. Now, moving to head count evolution, this quarter confirms that the attrition is improving. Our year-to-date attrition is down 0.8 point to 18.9 and the action plan both off and on shore, and the new hot skills are starting feel. We continue to see some growth in on shore headcounts, driven by demand in digital and cloud and our global production center headcount is increasing 8.8% year-on-year, bringing the global offshore leverage to 55.4%. So that’s 1.4 point increase in penetration compared to Q3 2015. Now, coming to 2016 priorities, where do we stand? Integration of IGATE is well on track, entering its final phase and as we previously communicated synergies are ahead of plan. And as Paul mentioned, people and client retention remains extremely good. We continue to execute on our strategic plan, specifically on innovation and industrialization, which is clearly in our hand, we are confirming upgraded margin guidance which represents 70 to 90 basis points improvement compared to 2015, in spite of 30 basis point additional investment that Paul mentioned. With our true discipline and focus on cash flow generation, we confirm organic free cash flow guidance which should materialize again in a very strong earnings to cash conversion. Last, we’re delivering on our commitment to actively manage the dilution. With 265 million spend this in share buyback and the early redemption as you own them [ph] by our net share settlement. As a consequence of the earlier redemption, the financial expenses will increased by 20 million this year. It’s a non-cash item. And will therefore decrease by 10 million both in fiscal year ’17 and ’18. So we now estimate full year financial expenses to be slightly below 150 million. As a result of the shareholder dilution management, we’re effectively reducing the fully diluted number of shares by more than 6 million since the beginning of the year. We now open it to question and answer. Operator?
Operator: [Operator Instructions] The first question is from Amit Harchandani from Citi Group. Sir, please go ahead.
Amit Harchandani: Good morning, Amit Harchandani from Citi Group and thanks for taking my questions. Two questions if I may, firstly with respect to the growth that you need to do in Q4 and beyond, you’ve articulated some of the headwinds that you expect at the same time reiterated the guidance. So which would suggest an acceleration in growth in Q4 to more than maybe 4.5 percentage points constant currency. Could you maybe help us understand better the key enablers of this acceleration or uptick in Q4 and whether that continues going into first half 2017? That would be my first question.
Aiman Ezzat: Okay, so Amit, first we don’t expect in Q4 to meet the guidance. Okay, so what Paul said is that the Q4 growth overall at the group level should be similar to Q3 because of the headwinds. And if you – I mean, you can talk to us later, but if you check we don’t think any acceleration to be able to meet the guidance in Q4. We continue to have a very positive dynamic outside of these headwinds, but we have to recognized that these headwinds are growing more than what we originally expected, notably the UC headwind and the [indiscernible]. Second question Amit?
Amit Harchandani: Yes, the second question was with respect to the European off shoring dynamic that you would refer to earlier, I think you talked about the pickup in France and if I believe Benelux as well. Could you give us a sense for how is that contributing to the growth profile of the company and how do you expect that to evolve into Q4 and next year? Thank you.
Paul Hermelin: First, Amit as you remember we already recall the strong growth in offshore service in Nordic and Germany and we now think there is more openness and appetite for equivalent service in Benelux and France. To the example of the large deals signed with [indiscernible] which now starting to production. And for the first time in France offshore leverage is exceeding 30% so where we stag between 2015 and 2024 for a long period. We now start to move the needle and both will get further and we have a pipeline for other deal of the same kind. So it is actually France and Benelux joining Germany and Nordic, and Germany and Nordic we already had it, and we now start to see some traction in Benelux and France.
Aiman Ezzat: We see some in the pipeline that could close in Q4 with higher leverage for productivity in France, which are progressing.
Amit Harchandani : Thank you.
Operator: The next question is from Adam Wood from Morgan Stanley. Sir please go ahead.
Adam Wood : Hi good morning Paul, good morning Aiman. Maybe just two from me. Just first of all on the comments around M&A you’ve commented that you could look to add two additional points of price over next two to three years, which suggests around EUR250 million revenues that need to be acquired. Could you give us a little feel about uses of cash, if you’re generating sort of getting on close to EUR1billion of cash over the next two to three years that around the EUR250 million dividend. Is that mean the most to the rest of the cash goes on M&A because these deals are going to tend to be more digital and therefore higher multiples or would do you still see room to be able to return cash in and other ways? And maybe secondly on the North American business outside energy, you’ve talked in the first half around have a transition to digital had been a little bit slower there. Could you give us an update on that how should we back on track in the U.S. outside of that business, I'm won’t expect kind of into Q4 and into next year? Thank you.
Paul Hermelin: Adam, I mean, what you’re seeing is right in terms of the fact that definitely the acquisition [indiscernible] tend to be more expensive, so it tend to be a bit higher multiple in terms of revenues. However we do believe that in addition to returning dividend they still potential to be able to return need to do our buyback program. Do remember that we still have capacity to leverage currently compared to the current leverage, so it deep to increase our debt leverage to still have capacity into firm, so it doesn't in fact we can at the same time achieve our two to three points of potential in organic growth, and return do share buybacks beyond the dividend payment. So we’re still comfortable on that. Okay, on North America. Frankly, but nice conversion to this cloud in our boost strong sector financial service and manufacturing and notably in manufacturing as we service more be to the clients the digital channel is less important, so it's more about digital manufacturing, it's about deep transformation. We probably need some acquisition to reinforce our hand in consumer product retail and distribution. So good progress on digital in manufacturing and financial service not as much in consumer product retail and distribution and there we probably we need some acquisition. Am I clear Adam?
Adam Wood : Perfect. Thank you very much.
Paul Hermelin: Thank you.
Operator: The next question is from John King from Bank of America Merrill Lynch. Sir please go ahead.
John King : Great, good morning everyone, thanks for taking the questions. The first one was just around with the one off towards the headwinds you've been citing here. Just wanted to understand what in your view has maybe change on that front as about three months ago this may cause the slight curve change or shift in turn into the second half of airing [ph] growth or is it that the rest of the businesses are now slight slowdown, just some color as to what's going on there and perhaps your confidence level and whether this is now something you think you've got a good handle on through Q4 and into Q1? And then the second question was really an extension of that as we look into 2017 and beyond what kind of underlying growth rate should we see obviously I think are indicating these headwinds will persist into the first quarter or so of next year, but absent of that which we still be thinking about kind of 4% growth rate or what where - where do you think the pipeline is going to leave you underline basis? Thanks.
Paul Hermelin: Okay, on first one, on the headwinds. I mean the headwinds on HMRC have clearly anticipated, because we have been talking about their in sourcing now for a while. What we need to just basically to finalize plan for their in sourcing to give a bit more visibility in terms of when the impact will happen. And I think we have a clear view now on their in sourcing on HMRC, and based on that we have been able to provide you a very clear impact that we see coming from that. I clearly see, Latin America which has been to frankly the surprise for the quarter is a volatility of the retail business where we saw some stability in the first quarter is really what made the different that give the basis point so that we really in Q3. But this business has become quite small and we do consider today that the volatility that remains in Latin America now has become a quite small and shouldn't have any further impact moving forward or very limited. And then finally on EUC [ph] it's a continuous erosion of the run rate, right so what we have done this time, to frankly that we’ve done and did account by account forecast for the next few quarters to ensure that we really have baseline stability based on what we had in our book of business, and consider that we can we really stabilize at baseline, which we able to provide more predictability on the headwind we see for the next couple of quarter and being quite sure that it's really completely fits away by Q2. But it hasn't been - it has continued to be basically eroded to a level beyond we start to stabilize about 12% to 13% of revenue. We're down to 10% of revenue.
Aiman Ezzat: And in any of this sector we only today sell community service our new project so this sequential stability in the levels through selling managed services.
Paul Hermelin: John you had a question about what is the underlying growth, right?
Aiman Ezzat: First as you - first it’s too early to issue any guidance for 2017, as you see the total of this headwind is between one point five points and two points so that will be a drag on next year guidance, we release guidance in next February. But when we compute everything, when we look at the European potential in the U.S. we maintain goal with an ambition to grow between five and seven organic, but for that notably to fully recover in the U.S. we'll have to compliment with our capability map with some acquisitions.
Paul Hermelin: The headwind is one point two points in the next couple of quarter then it started down.
Aiman Ezzat: Absolutely.
Paul Hermelin: So it is not for the full of next year.
Aiman Ezzat: No it’s for H1.
John King : Great thank you.
Operator: The next question is from Charles Brennan from Credit Suisse. Sir please go ahead.
Charles Brennan : Yes, great, thanks very much for taking my questions. Just a couple actually, firstly can just give allowance of the energy in utility sector for us and give us some greater color on where the weakness is coming from, some of your competitors have been talking about that as an area of strength for them. So as these customer losses to competitors that are causing these issues, that customers going out of business both striving that weakness or is it some other factor? And the second question is just broadly on the market conditions growth shifting to the right seems to have been seem we've heard consistently across the sector for the past three to six months, just how would you characterize overall market conditions at the moment and are you beginning to see that feeds through and more aggressive pricing pressure or any competitive dynamics like that? Thank you.
Paul Hermelin: The second part is on the overall market you mean not just energy utility?
Charles Brennan : That's right, yes.
Paul Hermelin: Okay. So listen on the first one on energy utility to frank as we have been saying since the beginning of the year. Our big decline is coming from the shale gas right towards a boom [ph] business for us. They provide a lot of growth beginning of last year and the previous year, and that now have significantly declined. I think beyond that we have seen some erosion as well in the utilities business I being seeing the utility business has been a bit soft especially on the projects side, and we're seeing some sort of erosion in the utilities business, which has further basically impacted our run rate in that business, but to be frank as I said, based on the detail review we have done, we consider now this stable, but we're not in a position to say yes, great is going to grow back again. So we’re going to remain cautious now until we see that business basically pick up again in North America. On the overall market condition first couple of remarks, the project business because is digital is feel like shorter project. So we have to manage that pipeline with a very large number of shorter projects, and certainly no price pressure on the country a little bit of price in inflation, because the cost of salaries are high. And the only point I repeat is, we have to manage our portfolio of smaller project. On the manage service there is - there are some pressure now to be coming from some of our Indian competitors, but we are careful not to take any risk fleet and signing deal could be dilutive to us. We acknowledge some price pressure there, but we could resistant have delivered a quite nice bookings total while maintaining or prudence and save guidance for pricing policies.
Charles Brennan : Did you show like that pricing and sensitive is picked up over the last six months as the industry struggling for top line growth or is it the same level of aggression as you normally see?
Paul Hermelin: We saw little more, I repeat, we saw little more coming from some Indian players in the summer, and I repeat we could recall the good bookings level in Q3 and frankly we have a very good outlook for Q4 while maintaining all prudence stands and pricing.
Charles Brennan : Great, thank you.
Paul Hermelin: We walk away for this, I don’t want to give you budget [ph], it looks bad, it will smell bad and you'll not be able to deliver it. So there are some budgets in the market definitely on pricing condition.
Charles Brennan : Thank you.
Operator: The next question is from Michael Briest from UBS. Sir please go ahead.
Michael Briest : Good morning, thank you. Just in terms of the U.K. business. Can you talk a little bit about how the weaker pound affects pricing? I'm imagining that if the private side of clients a lot of work had delivered from offshore. How do you negotiate with clients around that or do you think that that could have an effect on margins going forward? And then just could you drill a bit deeper into the U.K. business obviously strong 10% growth in the private sector this quarter. But what is the makeup of the business obviously now as far as the majority of the public sector which is maybe 40% or so, but what is the rest of the 60% of private sectors like how much utilities financial services, et cetera? Thanks.
Paul Hermelin: Okay. On the U.K. so from the pound, we are well hedged for this year, so there's no impact on margin from - as you think about the INR to GDP of course it has seen that would be fluctuation since the Brexit vote, but we are fully hedges for 2016 and we are well protected on 2017 Michael, by this time of year. So we have limited exposure overall on the U.K. and remember that it's 80% off shore leverage on the private sector, which represent as of course basically be small. So today we do not forecast any negative impact or big margin erosion coming from the depreciation of the pound to the INR. I think on pricing again we haven't seen anything is we don't have clients in practicing new big price reduction suddenly, because the U.K. business systems are, we haven’t don't have any signed on that there is a price competitiveness like we see in the rest of the market.
Aiman Ezzat: A word to say that in the political climate of course Brexit some clients are paying attention to project to relocate in cheap location on shore production center. Our experience still is that when we go to the market show the price so far we haven't seen any client doing really the move, but the fact is in the political environment a lot of clients are considering attempt to re onshore production center and we have some location for that. So far no contract signed in that direction. So my view it's the political environment, I don't think it will translate into fact that we are equipped for that. Of course that should happen that would be favorable to the revenue line, but I don't think that we'll get a real traction, but we'll monitor that.
Paul Hermelin: Michael on your second question I don't have handy the breakdown of our private sector in terms of percentages, but I can pull up reverse [ph] on that, but definitely the financial services sector is growing very nicely in the U.K. is one of the big traction so contrary to what some of our competitors are saying, but the financial services sector in the U.K. we actually growing very nicely in financial services in the U.K. and we consider good traction thanks to good portfolio offering and a good client base. I think it is - and it is one of the big sectors in the private sector that is of course, CPRG and manufacturing these are three big sectors in the U.K. beside the private sector, sorry beside the public sector. That’s all can provide you more color on that.
Michael Briest : Thank you. Can I just ask if you would - will you plan to hedge normally just roll your hedges to 2018 and whatever that [indiscernible] doing it?
Paul Hermelin: Yes, I mean - we had we still hedge, right so today very highly hedge already for 2017. We started hedging 2018 and 2019. So we cannot hedge beyond three years, because operation hedge that has to be based on business commitments, but where we have visibility we still chance and we have percentages that we basically hedge in advance. So we already started hedging 2018 at this stage.
Michael Briest : Thank you.
Operator: The next question is from Stacy Pollard from JP Morgan. Madam please go ahead.
Stacy Pollard : Hi thank you. I’ve got few questions bookings up 14% fairly strong. Can you please provide some color around sectors or geographies and deal types and if that's mostly similar to Q3 or there any changes there? Secondly when we think of offshore leverage, what is your ultimate target, especially thinking around automation as well and how that makes might have changed from the targets a few years ago. And then third quick question just clarification you mentioned 5% to 7% organic growth earlier in the call. Can you repeat exactly what that was referring to?
Paul Hermelin: On Q3 bookings frankly starting performance I think we said this on the public sector CPRD okay in Europe, really weak in the U.S. and very strong in manufacturing across the board every good in financial services. Very large one we mention in a medical device of the U.S. frankly that’s a very sizable one the client does not allow us to core team, but it's several hundred million, so that was a big one who are looking after. And we have a good pipeline, so the booking activity is quite good at this moment. I think the purchasing is a return of some larger managed services than had operated in the last quarter.
Aiman Ezzat: We have several deals above EUR100 million now in the pipe.
Paul Hermelin: The second point on offshore leverage we had said the long term ambition was 55% before IGATE and after IGATE moved to 65% offshore leverage. And I do not believe the automation materially impacted…
Aiman Ezzat: This is not in the next few years.
Paul Hermelin: Not in the next few years, but if you take five years on that the impact that it's difficult to estimate at this stage Stacy.
Aiman Ezzat: And the long term organic growth if you remember the markets at least [ph] update in 2015 we explain that the growth of offshore in Europe the end of the revenue cannibalization having reached ability and the digital and cloud momentum would progressively translate. Today we deliver let’s say 2% to 3% growth with volume growth it is more in the range of 5% to 8%, but end of the off shore leverage change we’ll see translates into the 5% to 7% growth and we said that in four years, I think it was actually in 2014, so let’s - we said that 2019.
Stacy Pollard : Okay, thank you.
Paul Hermelin: Thank you.
Operator: And the next question is from Laurent Daure from Kepler Cheuvreux. Sir please go ahead.
Laurent Daure : Yes, thank you. Good morning gentlemen. I have in fact two questions. The first is back on your U.S. business, I was wondering how you were managing the lower revenues and expected, I think you were heading two margins over 15% for the U.S. for this year with the additional 5.8% [ph], I mean you're going to have to restructure more or how do you manage of the cost base and then I have a follow-up.
Paul Hermelin: We don't really have an impact from that Laurent remember that we operate with a very high offshore leverage in North America. And we continue to invest in Digital and Cloud so we're actually trying to we actually probably more growing than shrinking our U.S. headcount base. The main impact has come from you see and from EUC and from some larger project, and more so that has already been subtracted from the baseline. So what we're dealing with today is more the base effect of some of this and it is actually a further decrease in the top line. So we had some - as I said some further decrease between for example sequentially from Q2 to Q3 in the baseline. But materially it’s a few EUR10 million or EUR12 million in the U.S it is not it's not the lead to any huge [indiscernible].
Laurent Daure : Excluding the energy sector in the short term do you expect to North American sales to trend higher on the back of the repositioning to our digital?
Paul Hermelin: Not for the next couple of quarters, what we see it will probably take two to three quarters to basically fully leverage this investment we're currently doing, do remember that there's a lot of attention coming from the integration of IGATE. We probably - bit of timed and we're not able to actually accelerate a bit of the transition of capabilities toward Digital and Cloud in North America. So we are bit a catch up mode for the next two or three quarters including with some acquisition in boost and be able to accelerate the transition. So it will take a couple of quarters to accelerate that.
Laurent Daure : Okay and there is question is back to [indiscernible] question on the U.K. private sector performance to 10%, what kind of really [ph] do you have based on the pipeline and bookings to sustain maybe not 10% but fairly nice gross well ahead of the industry level?
Paul Hermelin: Frankly o was in the U.K. early last week. What that helped is probably one of the comp where we are the most successful on Digital and Cloud, real mobilization on digital that really I could see in few divisions to U.S. [ph] it’s now so to be a country where we have a strong mobilization on consumer product and retail, it’s probably our best company for that sector. That plus financial services good engine for the U.K. I don’t think we do 10% every quarter, but I could see some of them about the pipeline and quality of competitive position in the U.K.
Laurent Daure : Okay, thank you.
Paul Hermelin: Thank you.
Aiman Ezzat: Thank you.
Operator: Your next question is from Georgos Katsos [ph] from Berenberg. Sir, please go ahead.
Laurent Daure : Yes hi, good morning guys. Thanks for taking my question, I'd like to basically come back to the one of the three sort of key headwinds that you’ve highlighted and most specifically on the HMRC contract. So just trying to basically get a high level feel if you like of the floor here, I mean after accounting for the full expected headwind from the HRMC contract, and I think on the slide you have some expected top line growth headwinds for the following quarters and as well as for the full year 2017.So after accounting for that what is the remaining contribution of HMRC to the business? So that's first part of the question. And the second part of the question is more a bit basically why there's sort of potential implications of this HMRC insourcing. And then on this one I would lead to basically have your thoughts that's is this on HMRC’s specific trend, are you guys seeing a wider insourcing trend, and if so is that specific to the U.K is that specific to the public sector or do you see that generally affecting other markets as well? Thank you.
Paul Hermelin: So first on the remaining contribution we're not going to that level of detail just also because of client sensitiveness. So what we give that we can do about the impact of the resourcing part, the HMRC would remain among our top four, five clients overall globally. But we cannot really talk about the contribution, but I think if you follow where we start with HMRCs and the past that went away and the insourcing you can have the rough estimate on what will be the remaining HMRC contribution, in terms of trend, but…
Aiman Ezzat: I just saying, I was with the HRMC CIO last week. The first point, I just want to confirm, we give you the reinsourcing which impacts the multi-year contract aspire. We cannot and we don't want to give you guidance on the project revenue flow with HMRC, because first take decision year-after-year, and I really can't tell you that having accept and being very supportive of the reinsourcing policy Capgemini is well positioned to remain the main provider of project business with HMRC. My second point is what I could feel is there was with the [indiscernible] administration kind of lack of trust vis-à-vis large IT provider and that was across the board. I don't think and I had clear sign that with the new administration they are no further sign of that on the country beforehand HMRC to justify any contract they would sign with us. New project and now this is considered as normal I really think that with the new administration, and I don't feel too old, I exposed to the same pressure coming from the cabinet office that that was my impression.
Paul Hermelin: We don't see as being global trend I think the case of HMRC member all the IT was completely outside that absolutely nothing left. And I think what they did is a prudent thing in terms of reinsourcing part of it to have some control on part with IT.
Unidentified Analyst : Okay so from the three major I guess sort of through headwinds HRMC energy utility and there is fairly LATAM, HRMC was already pretty much known from you guys right, I mean what you just highlighted now in terms of putting some numbers on that it's [indiscernible] in the guidance. Okay so the main incremental I guess unexpected headwind this from the energy utilities in the LATAM, right which if I got the numbers correctly it's probably going to be something close to 1.5% to top line right, expected the flow through H1 2017?
Aiman Ezzat: I mean somewhat between EUC and LATAM you mean?
Unidentified Analyst : Yes, both combined.
Aiman Ezzat: No, no EUC is just above one point in, one point one point in Q4 and we'll sit down to maybe half of that in Q1 and zero in Q2 and LATAM we don't really expect impact much impact left that could be limited impact, but it will be much small.
Unidentified Analyst : Okay, very clear. Thank you.
Operator: The next question is from Brice Prunas from Exane BNP Paribas. Sir, please go ahead.
Brice Prunas : Yes good morning gentlemen. And thanks for taking my question. Two actually, in North America if we exclude in NLG and utilities sector. Finally your performance in Q3 is not exactly where you want it to be. So I would like to understand the reason behind that gap that level the reason [indiscernible] implementation or that has something to do also with IGATE? And the second question is coming back to long question on margin, but that [indiscernible] finally you have an impact in the volume stand in your terms in sell image [ph] too and I would like to understand to what extent that could impact your margin in percentage them? Thank you.
Paul Hermelin: Brice on the first question, Aiman will answer on the margin. First our growth net of EUC 3.7, we repeat the growth of the IGATE account is strongly accretive to that we said close to 10% so absolutely no concern and potentially we might find that Capgemini executive having on board all these new accounts might have put too much attention on that and maybe less to open new logo as it might have been a little – in my view, the IGATE integration performance is integral and top line is excellent. We may appear a little bit depressed in terms of energy and attention in the rest, so because when I look at sector, I don’t find a big difference, I said no more than that. On CPRD, we are less confident with digital than we are in the other sector, but all the other market is okay and we have okayish but exciting performance. So, today my explanation is the fact that the Capgemini Manager had been the lead too busy with IGATE integration, because of pipeline, it’s the reason we are pushing and I really think even in the U.S., financial service and manufacturing are doing extremely well and we will push for other high-tech and telecom where we should do better and even signed in Nigerian government are [ph] really, small, small, small. So, that will make an increase but from a very small base. And [indiscernible] 4% to 5%. So, I don’t see a weakness. Today I really think that the IGATE has been a driver in terms of daily activities and start to be fully absorbed and behind us now. On the margin, again I reaffirm we are quite confident [indiscernible] extremely comfortable with our 3 to 11.5 guidance for the full year.
Brice Prunas: Thank you very much.
Operator: The next question is from Alexander Tout from Deutsche Bank. Sir, please go ahead.
Alexander Tout: Good morning, guys. Thanks for taking the question. Just on HMRC, is the reduction for the first half is 17? I think you’ve quantified about 200 million of run rate the end of the saga here. It seems a little less frankly than other CIO of HMRC was talking about, to the – I believe, the Parliamentary Accounts Committee a bit earlier in the year. So, is this kind of interim reduction on this a bit more to come here off of that at some point that we don’t yet know? Or do we really think that that’s kind of where the new base line is going to settle at? And then secondly, just on the margin guidance, I think even at the high end, if you strip out the IGATE impact and the impact of synergies from IGATE, it seems to imply a little or no margin expansion in the underlying business, I mean is this a disappointment to you? Does this reflect some of the pricing pressure that’s perhaps out there? And do we think that we can do a bit better there the next year maybe some of that investment headwind of 30 basis points starts to abate? Thanks.
Paul Hermelin: Okay. I think HMRC frankly, we execute months after months the resourcing as agreed actually with previous CIO, because you remember he left a few weeks ago. So, it’s exactly in line. So, if you remember we agreed in stage resourcing against a prolongation until 2020 of our collaboration in testing in insights and data, so Big Data and in SAP. And this has been executed exactly in line with what we have signed last March. So, for us it’s exactly expected. The only variation might occur on the volume of project, but on volume of project, today we have a good win rate.
Aiman Ezzat: Alex, on the second one, to be frank, I do recommend that you have a discussion again with [indiscernible] on that. I think we did explain several times the guidance has not changed. The IGATE synergies have not changed. We did explain several times the progression that insures after IGATE integration, IGATE synergies, there was still a good progression. So I do recommend that you review again these numbers with [indiscernible] because we did show a pretty nice progression already on that, because as we are coming to the end of the call, we just have one more question that we can take and then that will be the last question.
Operator: So, the last question is from Neil Steer from Redburn. Sir, please go ahead.
Neil Steer: Thanks. I just have got two quick ones. Firstly, on the Aspire contracts, sorry to keep asking on this, but presumably given the level of project work now, have you been able to reallocate staff on to private sector work or is there some headcount adjustment that is required and can you clarify the cash costs of restructure and the P&L charges for restructure expected in 2016, please?
Paul Hermelin: So, first on the base contract, people have two teams, so they have been transferred back. So, the resourcing has no impact on headcounts. On the project level, frankly, today we have a good level. It might have been a little less than the peak of the activity, but we have a strong level of business of – project business and we could realign the people. We don’t announce and organize any restructuring program in the UK.
Aiman Ezzat: Frankly, we don’t have nothing in plan right now in the UK or plants [indiscernible] next year.
Neil Steer: Okay. Can you just confirm the P&L charge for headcount realignment and then also the cash expectation of that for this year please?
Aiman Ezzat: We told you that during the two years following IGATE acquisition, we have – the long-term guidance we gave you was in the range of 8 and we told you for the two years of IGATE integration we could add the 20. So, we are on 100 or slightly below for this year, 90 million.
Neil Steer: Okay. Thanks. And just one final question on the growth in North America [indiscernible] that if you strip out the impacts of the headwinds in the energy and utilities market, the growth there was sort of the plus 3.7%. But presumably much of that growth is actually attributable to the growing IGATE businesses and so I know it’s sort of a difficult question to answer. But are you slightly disappointed with the growth if you like the free IGATE Capgemini businesses outside of the energy and utility verticals in North America. Were they growing in there?
Aiman Ezzat: I mean there are two things. One, I think the rest of the growth of the business is still not bad, it’s still quite good. Attention headcount, as Paul has mentioned quite a bit in trying to integrate IGATE and trying to maintain the clients, we might have hurt us a little bit in terms of client acquisition in other places. And the second thing is definitely there is a digital rotation part in terms of capability. It has been a bit slower because of that. So, definitely we see the potential to be able to accelerate that again below expectation. If you want, but discreetly [ph] slightly below, we knew that this year we would not be able to go much fast as the underlying business because of the integration, so that was already planned. It’s more the – since the level of headwind from energy and utility is what was a bit surprise, but we are quite confident in the underlying growth rate that we can achieve in North America. This has not changed much.
Neil Steer: Okay. Thanks very much.
Paul Hermelin: Okay. Thank you everybody. Let’s stop there. Next we will meet a lot of you in Roadshow and Tech conference and the next meeting is with our full-year result mid-February. Thank you again.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.